Operator: Good afternoon. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Royal Gold Fiscal 2012 Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Karen Gross, you may begin your conference.
Karen Gross: Thank you, Operator, and good morning. And thank you everyone for joining us today to discuss our third quarter fiscal 2012 results. This event is being webcast live and you will be able to access a replay of the call on our website. Participating on the call are Tony Jensen, President and CEO; Stefan Wenger, CFO and Treasurer; Bill Heissenbuttel, VP, Corporate Development; Bill Zisch, VP, Operations; Bruce Kirchhoff, VP and General Counsel; and Stan Dempsey, Chairman. Tony will open with an overview of the quarter followed by Bill Zisch who will review our operations. After management completes their opening remarks, we’ll open the line for a Q&A session. Before we begin, I want to remind everyone that this discussion falls under the Safe Harbor provision of the Private Securities Litigation Reform Act. A discussion of the company’s current risks and uncertainties is included in the Safe Harbor statement in today’s press release and is presented in greater detail in our filings with the SEC. With that, I’ll turn the call over to Tony.
Tony Jensen: Thanks Karen. Good morning and thank you for joining us today. I’m pleased to report yet another quarter of solid financial performance, as we achieved record revenue, net income and operating cash flow. Specifically, net income rose to $26 million or $0.44 per share, and royalty revenue of nearly $70 million, an increase of 25% over the prior period. And operating cash flow increased to 16% to approximately $48 million. And looking at our financial performance on the nine-month basis, Royal Gold achieved record results in all three financial measures of revenue, net income and operating cash flow. 53% of our revenue for the quarter came from Andacollo, Voisey’s Bay and Peñasquito, our three cornerstone producing properties. All of these long-term high-quality assets reported year-over-year improvements in metal sales and revenues, and are at or close operating at their full production potential. Andacollo was again our largest revenue source contributing approximately $17 million, with Voisey’s Bay at $11 million followed closely by Peñasquito at $9 million. Compared to the December quarter we saw significant volume expansion within the portfolio at Peñasquito in Canadian market. These increases more than offset lower product at Holt, Dolores and Leeville. Our percentage of revenue from precious metals is 72%. We derived our revenue evenly between Canada, Chile, and Mexico, each contributing nearly 25% of the total, while the United States operations contributed 15%. We expect to see revenue from Chile and Canada increased significantly as two of our growth properties Pascua-Lama and Mt. Milligan began production. We understand that both of these properties remain on schedule for production in mid to late calendar 2013. In addition to strong quarterly financials, we also had two other financial events that took place during the quarter followed -- following our acquisitions involving Mt. Milligan and task achieved last December. The first was an equity offering in January and which we sold 4 million shares of Royal Gold common stock, resulting net proceeds of $268 million. We also repaid $170 million outstanding on our revolving credit facility. This resulted in a cash balance at the end of the quarter $183 million and we now have $225 million available under our credit facility, position us well for additional opportunities. And, with that, I would like to turn the call over to Bill Zisch for review of the operations.
Bill Zisch: Thank you, Tony, and good morning, everyone. Today, I will talk about three aspects of our operating portfolio, performance of the portfolio in total, our two key development projects and a review of our annual reserve statement. First, let me start with review of the overall portfolio. With the gold price virtually unchanged from the proceeding quarter, the 1% increase in revenue compared to the December quarter affects the impact of new production contributions from our current growth properties and the portfolio effect of our steady-state producers. Properties with production contributions that continued to ramp up over the quarter, included Canadian Malartic which, with the commissioning of the first two crushers underway and increased grading recovery was up 68%. Las Cruces, after strong performance in the fourth calendar quarter of 2011, was up another 6% as the plant achieved record production of copper cathode in the first two months of 2012. And Peñasquito gold production increased 29%, as the high pressure grinding rolls supplemental feed system was successfully commissioned and sustainable throughput began to approach design levels of 130,000 tons per day. Wolverine continued to progress toward design levels, increasing production by about 10%. Additionally, Robinson copper production was about 13% above the preceding quarter, as mill availability returned to normal, following a maintenance shutdown in the prior quarter. St Andrew Goldfields Holt mine operated at near budgeted production amounts. Development of three operating levels has progressed to enable an average mine production rate of 1,000 tons per day. Royalty revenue was lower compared to the preceding quarter due to slightly lower grade milled and lower sales attributable to our royalty. Voisey’s Bay, turning the strong quarter with nickel shipments up significantly, offsetting the expected drop in seasonally high copper shipments completed during the fourth calendar quarter of 2011. Andacollo realized virtually the same production as the preceding quarter, as temporary modifications to their crushing circuit continued to deliver reliable throughput of about 45,000 tons per day. A 20,000-ton per day two-stage pre-crushing circuit is in the process of being installed, which will allow the mine to reach design throughput of 55,000 tons per day. We understand this modification is scheduled to be completed by the end of June. Results of Teck’s recently completed expansion study indicate that the two available options of additional grinding with either a second SAG mill or with additional pre-crushing to increase concentrated throughput are essentially the same. Teck has stated that further circuit configuration and economic evaluation for the expansion will be undertaken based on the performance of the new pre-crushing plant during the second and third quarter of calendar 2012. We also plan to continue infill drilling to evaluate additional resource potential. Turning to our two key development properties, at Pascua-Lama, Barrick continues to anticipate production in mid 2013. Approximately, 70% of the previously announced pre-crushing capital of $4.7 billion to $5 billion has been committed. Project is being impacted by labor and commodity cost pressures, a result of inflation, competition for skilled labor, the impact of increased Argentinian custom restrictions on equipment procurement and lower-than-expected labor productivity. Barrick intends to complete a detailed capital cost and schedule review in the second quarter of calendar 2012. In terms of project construction, earthworks in Chile are about 97% complete. In Argentina, earthworks construction is about 73% complete, or approximately 45% of the concrete has been poured at the processing facilities and about 20% of the structural steel has been erected. On February 27th, Thompson Creek reported that engineering by the projects EPCM firm was 90% complete and that 80% of the major contracts have been awarded. They raised their estimate for the cost to construction develop the mine by 10% to 20% citing industrywide cost escalation challenges resulting from scarcity of inputs and resources. Capital cost is now projected at $1.4 billion to $1.5 billion Canadian. Thompson Creek reiterated that the project is proceeding in accordance with their plan. It is on schedule for production in the fourth quarter of 2013. Yesterday, we announced updated precious metals reserves subject to our interest totaling 84.5 million ounces of gold and 1.2 billion ounces of silver. This compares to 83.9 million ounces of gold and 1.4 billion ounces of silver estimated at year end 2010. The decrease in silver was mainly due to production depletion and lower reserves at Peñasquito, a result of increased operating costs. A meaningful way to look at our value from these reserves is to calculate reserve ounces attributable to Royal Gold. We do this by applying our interest in each property to the reserves associated with the property to arrive at our net reserve ounces. Evaluated this way, our increase in net gold reserve ounces is 25% versus the prior year, which includes the benefit of increase in our interest at Mt. Milligan from 25% to 40%. On a gold equivalent basis using about 50 to 1 ratio of silver to gold, our net equivalent precious metal ounces increased 19% year-over-year from 5.2 million to 6.2 million ounces. And with that, I’ll turn the call back over to Tony.
Tony Jensen: Thanks for the update, Bill. In summary, this is another quarter of solid operation performance. Our cornerstone assets are performing well and the diversification of our producing portfolio enable us to report strong and consistent quarter-over-quarter results. We look forward to continued ramp-up growth over the next couple of quarters from Andacollo, Peñasquito, Canadian Malartic, Wolverine and Mulatos as these projects worked toward achieving full production capacity. With that, operator, we’d like to turn the call over to some questions, if there are some.
Operator: (Operator Instructions) Your first question comes from the line of John Doody with Gold Stock Analyst. Your line is open.
John Doody: Good morning, guys and congratulations on the quarter. I have two questions. First is on Mount Milligan. Is there any interest on the part of Royal Gold or is that Thompson Creek looking for Royal Gold to participate in the third tranche at that site?
Tony Jensen: John, Tony here. What we said publicly and continue to say today is that we think highly of the project. We are very confident that the project will get build and will be a low cost producing asset and from that standpoint, we always would like to own more of what we already have. From our perspective, we think there is more capacity at that project for a third tranche of financing from ourselves but quite honestly, we aren’t able to comment on any kind of business activity with regard to what we may or may not do.
John Doody: Okay. Fine. So it is possible there could be a third tranche for Royal Gold?
Tony Jensen: John, I just said that.
John Doody: No comment. Okay. I’ll take that as….
Tony Jensen: I can’t specifically comment on it.
John Doody: Fine. Okay.
Tony Jensen: (Inaudible) question actually.
John Doody: Okay. Well, here it is. At Andacollo, you’ve got a terrific royalty there. Absolutely, one of the best in the business, if not the best. And of course, you would participate if they do a major expansion, you would participate as I understand the detail on the same terms as you are now, basically getting ounces for nothing. Is there any -- is Teck asking you to change the terms over second -- to do a secondary situation, if they were to expand to 110,000 tons a day, for example, will they want you to participate in a sense by taking a less royalty on that second expansion aspect?
Tony Jensen: John, we don’t have any obligation to do that nor has Teck ever enquired...
John Doody: Okay.
Tony Jensen: About doing such of things -- we won’t -- we won’t be obligated to participate. This is the beauty of the royalty model where we make our investment and we get the upsides on the back end of resource improvements and production expansion. So this is a very kind of business that we really want to be involved in for return for our shareholders.
Stefan Wenger: Okay. Perfect. So we will continue to look for an increase by Teck.
John Doody: Okay. That’s it. Thanks.
Tony Jensen: Absolutely.
Stefan Wenger: Thank you for the call, John.
Operator: Your next question comes from the line of Shane Nagle with National Bank Financial. Your line is open.
Shane Nagle: Questions, Tony or maybe Bill you might already have answered. I just again, going to back to Milligan, through your own due diligence have you kind of looked at, I guess how much that asset can actually sell off in the Gold Stream before you will be concerned with them -- impacting operating cost too much?
Tony Jensen: Shane, thanks for the question. We look at that in all of our investments, and obviously we continue to monitor those kinds of things that are existing investments and without commenting specifically about what the project may or may not be able to do. Let me just say that, when we invest in operations, we really don’t want to invest in a property after our interest is taken out of the byproduct credit if you will. We don’t want to invest in properties that are larger, higher in cost in the third quartile of production on the primary metal. So we know that the Mt. Milligan project is squarely in the second quartile right now. And so that’s why, we say we really like the project and if the opportunity presented itself, we shall really look at it.
Shane Nagle: Okay. And then just with value, I was reading a little bit on Voisey’s Bay. It was unclear in their disclosure, and they’ve always had kind of -- I guess a bit of difficulty with forecast in the shipping season especially the copper there. But you said something where adverse weather conditions there, do you have any thing that’s going to impact the sales going forward or just a typical seasonality that we’re seeing with sales in the past?
Tony Jensen: Let me turn that over to Bill Zisch.
Bill Zisch: Hello, Shane. Yeah. Thanks. I read there, that information is well and it is just a typical seasonality they did mention severe weather. Reference was to the limited shipping schedule that they had and certainly appear to be nothing unusual just a normal schedule.
Shane Nagle: Okay. That’s really I read, I just wanted to double check. Thanks, guys. Great quarter.
Bill Zisch: Thanks, Shane.
Operator: (Operator Instructions) And there are no further questions at this time, I’ll turn the call back over to the presenters.
Tony Jensen: Well, thank you, operator. Obviously, a very straight forward quarter for Royal Gold. We are very pleased with the results. Thank you for joining us today. We look forward to the final quarter, what has been exceptional year of growth for Royal Gold. And we appreciate your interest in our company. Thank you for joining us.
Operator: This concludes today’s conference call. You may now disconnect.